Presentation: 
Operator:
Malgorzata Czaplicka:
Unknown Executive:
Malgorzata Czaplicka:
Balazs Gosztonyi:
Malgorzata Czaplicka:
Operator:
Jakub Caithaml:
Malgorzata Czaplicka:
Jakub Caithaml:
Malgorzata Czaplicka:
Operator:
Unknown Analyst:
Malgorzata Czaplicka:
Unknown Analyst:
Malgorzata Czaplicka:
Balazs Gosztonyi:
Unknown Analyst:
Malgorzata Czaplicka:
Operator:
Jakub Caithaml:
Malgorzata Czaplicka:
Jakub Caithaml:
Malgorzata Czaplicka:
Jakub Caithaml:
Malgorzata Czaplicka:
Jakub Caithaml:
Malgorzata Czaplicka:
Jakub Caithaml:
Malgorzata Czaplicka:
Jakub Caithaml:
Malgorzata Czaplicka:
Balazs Gosztonyi:
Jakub Caithaml:
Malgorzata Czaplicka:
Operator:
David Sharma:
Malgorzata Czaplicka:
David Sharma:
Malgorzata Czaplicka:
David Sharma:
Malgorzata Czaplicka:
David Sharma:
Malgorzata Czaplicka:
David Sharma:
Malgorzata Czaplicka:
David Sharma:
Malgorzata Czaplicka:
Balazs Gosztonyi:
Operator:
Unknown Analyst:
Operator:
Malgorzata Czaplicka:
Balazs Gosztonyi:
Operator: